Operator: Good morning, and welcome to the Aurora Spine Reports Fourth Quarter and Fiscal Year 2021 Financial Results Call. All participants will be in listen only mode.  Please note this event is being recorded. I would now like to turn the conference over to Adam Lowensteiner with Lytham Partners. You may now go ahead.
Adam Lowensteiner: Thank you, Anthony, and good morning, everyone, and thank you all for joining us today to review the financial results for Aurora Spine for the fourth quarter and year ended December 31, 2021. With us on the call representing the company today are, Trent Northcutt, President and CEO of Aurora Spine; and Chad Clouse, Chief Financial Officer of Aurora Spine. Before I begin, I would like to remind everyone that statements made during the course of this call maybe considered forward-looking statements within the meaning of Section 27A of the Securities Act of 1933, as amended and Section 21(e) of the Securities Act of 1934. These statements reflect current expectations concerning future events and results words, such as expect, intend, believe, may, will, could, should, anticipate and similar expressions are words that are used to identify forward-looking statements, but their absence does not mean a statement is not forward-looking. These statements are not guarantees of future performance and are subject to risks and uncertainties and other important factors that could cause actual performance or achievements to be material different from those projected. For a full discussion of these risks, uncertainties and factors, you're encouraged to read Aurora Spine’s documents on file with SEDAR, including those set forth in the periodic reports filed under the forward-looking statements and Risk Factors section. Aurora Spine does not intend to update or revise any forward-looking statements, whether as a result of new information, future events or otherwise. On this call, management may refer to EBITDAC, adjusted EBITDAC, adjusted net income and adjusted EPS, which are not measures of financial performance under Generally Accepted Accounting Principles or GAAP. Management believes that these non-GAAP figures in addition to other GAAP measures provide meaningful supplemental information regarding the company's operational performance. Investors should recognize that these non-GAAP figures might not be comparable to similarly titled measures of other companies, these measures should be considered in addition to and not as a substitute for or superior to any measure of performance prepared in accordance with GAAP. A reconciliation of non-GAAP measures to the most directly comparable GAAP measures in accordance with SEC Regulation G can be found in the company's earnings. With that, I'd like to now turn over the call to Mr. Trent Northcutt, President and Chief Executive Officer of Aurora Spine. Trent, please proceed. Trent, are you on mute, we can't hear you.
Trent Northcutt: Sorry. Yes, sorry, I was. Excuse me about that. Thank you, Adam. I’d appreciate everyone today, and I'd like to welcome everyone to the Aurora fourth quarter 2021 financial results conference call. Earlier today, we issued a press release detailing our financial results. Hopefully, you've had a chance to review this news. But, if not, a copy can be found on our website at aurora-spine.com, that's aurora, with a hyphen, spine.com under our Investor Relations section or in our other financial websites. To lay out the agenda of today's call, let me first summarize a few key events of the quarter, including some of the brief commentary on the numbers. And then I'd like to talk a bit about the status of each of our key initiatives and products, like the SiLO and the ZIP, as well as our initiatives on the Spine division, including our new DEXA product line. Chad Clouse, our CFO, will join us to recap the financial results, and we will then conduct a Q&A session at the end. Key events in Q1, the market overview and dynamics of our new products and our clinical study, overall fourth quarter produced a solid result and it demonstrated that the issuance experience of the COVID-19 have now started to go behind us. While there are still a little bit of pockets of surgery cancellations here and there, overall, our business didn't experience any industry slowdowns in the quarter like some of the other companies in our industry. And Aurora actually surpassed the pre-COVID level revenue levels and showed growth year-over-year as well as significant sequential improvement from the third quarter. In addition, the fiscal 2022 while starting slow has gained momentum and off to a solid start. So what's going on? The phenomenon that we believe unfolding in front of us is a multitude. First coming out of the COVID, more patients were focused on their health and feeling confident in the coming back to the doctor's office. Doctors in fact, are actually loving people come back into their office, taking care of health issues and they propose postponed because of the pandemic. Also doctors adopted a pandemic protocol. Many of them shifted towards concluding their own procedures, either in the office or at the surgery centers to serve more patients. We saw a big boom in the surgery center business. In the timely fashion, this has also shown doctors to pursue new technology, especially those who we found in patients that improved outcomes and done in a minimally invasive manner but also enable the patient to return home in the same day. Another catalyst is this continued emergency in the pain interventional market, which continues to evolve in a sizable manner as doctors are incorporating pain management into their practices. These doctors are also very mindful of the opioid crisis and need devices that can be highly effective, included in a minimally invasive manner that helps treat the patients without using addictive pain medications. Two of Aurora's proprietary products, the Zip and the SiLO, are exactly what doctors are looking for. During the quarter and the fiscal year, for that matter, we were diligently focusing on proprietary products to continue to focus on the doctor education through our cadaver lab trainings, which are done in various cities throughout the United States and allows 20 doctors to -- 20 doctors and more to learn about Aurora's products and especially on the Zip and on the SiLO. We traded over 200 doctors in 2021 and have created an aggressive training program scheduled for 2022. We should basically double what we did this past year and trained more than 200 doctors -- or more than 400 doctors, excuse me, in 2022, and we're well on our way of meeting that goal this year. We also embarked on a clinical trial for the ZIP, which is going very well and has attracted many new doctors to utilize the device, join our study and have embraced this new incorporated device into their practice and now incorporated in many different procedures for that particular surgery center hospital or doctor practice. Our SI Joint device has been a key contributor recently, and we believe it has a very positive future ahead. As the SI Joint procedure continues to be adopted by doctors, we are continuing to educate doctors on the SiLO. We are very excited about our next-generation device, which will be a titanium and non-allograft version or non-bone version called the SiLO-TFX. What's unique about this device is that this device is actually specifically designed for the SI Joint and it is made in a minimally invasive approach, where the doctor can have controlled precision of the instruments and allow this implant to be placed into the SI joint plan – and instantly give the patient SI joint pain relief and the patient can walk into the surgery center that day and actually leave the same day, and will walk out of the surgery center. This is a step in the right direction and again, reducing that opioid concern. Other area we have advanced during the quarter is our DEXA technology platform. This has been very exciting for us. We have secured a key patent in a patent called DEXA Technology last year, and we hit the ground running, creating our DEXA product DEXA-C Cervical implant that was obtained by the FDA clearance during the third quarter. This patent of technology allows us to create a series of implants, manufacturing, very densities in order to help match that patient's bone density and DEXA T-Score. We would employ the superior fixation to help promote a quicker bone growth in bone healing. We are now working towards marketing this product and conduct initial surgeries into the patients earlier this year. These procedures have gone very smoothly, and we've had some initial traction with doctors starting to incorporate the DEXA-C into their practice. What's unique about this device is that, it actually works with the summary of the patient's bone density. The density is a true measurement in how patients don't help and how the patient's performance in a recovery surgery based upon implants that are placed in this patient. The fact is, is that most, if not all, implants that are made for your cervical, for your lumbar and other joint aspect to your body, but specifically through our company Spine, all implants are manufactured and actually made to the same density, a healthy patient, a non-healthy patient or a patient has had some variants in their bone. We believe the DEXA Technology is that perfect procedure, that perfect product for the doctor actually selected and dialogue in to make sure that it works right within that patient's bone score and have a measurable and an outcome that gives positive clinical results to that patient through that doctor. To summarize, I'm extremely proud of what the team performance was, staying focused on building this company. We are well positioned to take advantage of the growth markets and several of our new key proprietary products will remain focused on penetrating these markets further this year through continued training, succession and also clinical result trials that are ongoing. Looking to the longer-term, we are well positioned for success, especially as new products and more clinical studies proving out our technologies and teaching more doctors to use the Aurora product. Good news is that, the pandemic is mostly behind us. Surgeries have returned and patients are focused on improving their health and well-being. We will now turn the call over to Chad Clouse, our CFO at Aurora Spine. He will review the fourth quarter financial results. Chad, please proceed.
Chad Clouse: Thank you, Trent. With the numbers highlighted in detail in the press release, let me focus my comments in a few areas. Revenue during the fourth quarter of 2021 was approximately $3 million, an increase of 21.7% compared to $2.4 million in the fourth quarter of 2020. The improvement in revenue was driven by a strong usage of proprietary products, especially the ZIP and SiLO devices. Gross profit in the fourth quarter of 2021 was $1.4 million, or approximately 46% of revenue. This compared to gross profit of $0.9 million, or 37.1% of revenue in the fourth quarter of 2020, and $1.4 million or 45% of revenue in the third quarter of 2021. Gross margin showed continued progress and improvement even on a sequential basis as more proprietary products are part of our revenue. Proprietary products in the fourth quarter were 70% of revenue. Margins have the capability of continued expansion beyond these levels, especially, as Proprietary products. Sales increase and become a larger portion of total revenue. Total operating expenses in the fourth quarter of 2021 were $2.3 million compared to $1.4 million in the year ago fourth quarter and sequentially higher from the $1.7 million in the third quarter. These expenses are within our range and were due to continued investments in building more sales and marketing initiatives. Investors should anticipate these levels to remain in the coming quarters as the company continues to invest in conducting more training sessions in clinical trials. While there will be higher expenses, we do believe these investments will put the company in a proper position for accelerating growth. EBITDAC -- earnings before interest, tax and depreciation, and stock compensation in the fourth quarter of 2021 was a loss of $0.6 million compared to the EBITDAC of $0.2 million in Q4 2020, a decrease year-over-year in EBITDAC in quarter was due to higher operating expenses compared to last year. Net loss in the fourth quarter of 2021 was $0.9 million -- negative $0.9 million or negative $0.01 per basic and diluted share compared to negative $0.042 million or negative $0.00 per basic and diluted share in Q4 2020. Turning to the balance sheet. The company strengthened its balance sheet during fiscal 2021 with a capital raise net of fees of $4.5 million. These funds have enabled the company to secure the necessary inventory to ensure product availability to surgeons utilizing our products in their practice. We have also used the capital to add key sales physicians in both the spine and pain market to deduct more training labs in various large cities around the US to educate more doctors. At the end of the fourth quarter, we had cash of $3.2 million, an increase of $1.9 million from the end of fourth quarter 2020. We exited the quarter with $2.7 million of receivables, about the same from the third quarter levels. We are always working to improve our cash collections, but we are confident in our current system in place and we have been able to usually capture collections in 60 days. The business is in a financially strong position even while making very important investments have increased operating expenses. This demonstrates that this is strong and continuing these investments in keeping the burn -- we'll continue these investments and keep the burn to a limited number. As these investments mature, we expect the company to experience solid growth improvements, putting the company on the path to profitability in fiscal 2022. I now turn the conversation back to Trent.
Trent Northcutt: Thank you, Chad. Before we open the call to questions, I'd like to conclude that we believe that the company has stabilized from the pandemic and should continue to improve as we further away from it and more surgeries get booked. We have been very busy making necessary expenditures to make sure that the company captures the opportunities that are evolving in spine and in the pain markets. Some of these new initiatives include building inventory, additional instrument sets and kits, and making some key new hires to improve our sales and licensing efforts. So far, we are happy with the progress of these investments and are very excited about the company's efforts in 2022. Given our very unique situation, as an innovative medical device company, we remain very confident in our opportunity to create substantial long-term value and share shareholder growth. And with that said, our operator is ready to answer any questions.
Operator: We will now begin the question-and-answer session. 
Trent Northcutt: I dazzled them with my presentation. So, I know they are eager to asking a few questions.
Operator:  Our first question will come from Tom  with Microcap Connection. You may now go ahead.
Unidentified Analyst: Good morning there guys and congratulations on the quarter. Love to get some color on the doctor uptake with the training that's taken place with 400 doctors planned for training in 2022. I would assume that 100 doctors have been trained so far this year. And we witnessed a number of them coming on online on LinkedIn. So, there is evidence, is it safe to say that the adoption rate we can expect to be the same as last year of 20%?
Trent Northcutt: Yes. Good question. And yes, I believe that we will have good adoption up to 20% on the training programs. The training programs have only improved from last year to this year, and we did kick-off this year quite strong with the ZIP study protocols as far as introducing those to the doctors, also introducing more inventory and some updates actually on the SiLO SI Joint system. We've made some instrumentation tweaks, if you will, to help improve the performance of the instruments. And we've introduced some of the last cadaver courses that were in Dallas and in Northern California and have done quite well.
Unidentified Analyst: Perfect. And as for the doctors using DEXA products and I've taken this information off of the net, so you can correct me if I'm wrong, but I understand that at the end of 2021, there were 40 pain doctors selling Aurora products averaging around $10,000 per month. Now, if the math equates by the end of 2022, if there's 400 doctors trained, theoretically, we could exit 2022 with 120 doctors at some point because there's bound to be a delayed effect. So, even count on 100 doctors by the end of 2022, doing $10,000 per month. Is that a fair assessment? Is that the goal
Trent Northcutt: Very fair. Yes. The goal is for them to get -- obviously, to get adoption rate from these trained physicians that are coming into it. But we've also -- last year, early in the year, we were mostly focused on -- early in the year, we were focused on the ZIP device and then we incorporated the ZIP and the SiLO device. So, we have seen basically, we delve down on ourselves. We said, look, if they're going to use the ZIP device terrific, but if they will use a ZIP and the SiLO device, we'd like to see an increase in some of that usage following the training. So yes, steps in the right direction and also a good question.
Unidentified Analyst: Perfect. And to follow that up, when you factor in the cost of ZIP and SiLO and you equate that to the average amount spent per month of $10,000 that's about 1.1 to 1.5 devices sold per month per doctor. Organically for organic growth, could you see that jump to three devices per month? Because I got to see that as a source of a revenue increase, it's just the organic growing the organic growth within this doctors, the doctors that you've got on selling your devices already, it's got to be a target, right? So what are you doing to help doctors increase their sales of your devices? And is that very possible to see three to five to six devices sold per month per doctor?
Trent Northcutt: To answer your question yes. It is possible for them to expand their usage and to adopt this technology further into their practice. What we are doing, and that's different from last year to this year is that we added a Director of Clinical Education, Krissy Ramey, joined our company, and she now -- we have a direct follow-up based upon our CRM that directly follows up with each one of these customers and how they progress since their training. The focus of these particular doctors was an interview question coming into the course and a certification that we give them through our company. They have been certified as a train. We blended all of our trainings with orthopedic, neuro, spine and pain interventionists. So it's a collaboration amongst talents and professions in the spine space. Everything, of course, has ortho, neuro and pain in this course. So it's not just one side where it's only a pain courses, on the neuro course. It's a blend of all three. And we've seen that. And we've -- we continue to follow them in our CRM and to see what things are missing like if it's a piece of literature that they think they need to get in front of their patient or if it's a help with the reimbursement. And one of the things I'm going to touch on today in this call is that we added PRIA Healthcare, which is a preauthorization company that works with all the large payers and the small players, I mean, all across the country. PRIA Healthcare, we have a contract with them. We made a press release on them and they'll actually do the doctor's preauthorization. So they know -- when the doctor knows when we go gets up in the morning, it's go into that surgery centerm all those cases have been pre-approved.
Unidentified Analyst: Perfect. And that was my next question. What is the -- how has that actually shown? Is it -- have you seen evidence that it's improved the success rate of a doctor getting approval? Because have you witnessed it already?
Trent Northcutt: We've witnessed it already. I'd like to -- I want to see more of it, and we are running the metrics on that to see what that that add in and that add out and we'll do own measures in the second half of the year, because we knew the start of the year to be a little bit slower, but it. But yes, PRIA already got pre-authorizations for multiple of our doctors that we've trained in these courses. So yes, it's off to a good start.
Unidentified Analyst: Perfect. Perfect. Where are you seeing the greatest success right now?
Trent Northcutt: The fastest growth has really been in -- well, I guess, it's the ZIP is in really steady and is increasing growth usage from the ZIP device. So we're really pleased by that. We -- SiLO -- the numbers that we came out with last year are interesting because we only had 20 instrument kits in the field last year, the little surgical trays. We only had 20 of those kits out in the field last year. And two of them got lost in the mail, which was very frustrating, as you can imagine, you only had 20 you've lost two -- now we have over 55 sets. So at the beginning of the first quarter, we actually got -- we had ordered more inventory to more sets. So we actually have another rev of 30 kits -- so that would push us over 80 instrument kits throughout the year for SiLO. So my eyes really on the SiLO technology really on the set availability. And when I was with my warehouse team, we had a conference this weekend, they told me that all the SiLO kits are in the field actively at doctor accounts either for a training in office training or actually for a procedure to be performed. So that's going to be an increase this year for sure. And the third part that I mentioned was DEXA technology, although it's only in its alpha trial as a release, it is FDA approved. It's 510(k) cleared. We had a roundtable group this weekend with nine surgeons, and these are all surgeons just neuro and ortho. And we had several university doctors there, Chief of Orthopedics from one university -- and we had a really nice review of the DEX technology, and we had a case series review of how these patients have been performed, and this was presented in front of the nine surgeons and we have really great reviews from those nine surgeons, and we're beginning a multicenter study with the DEXA-C cervical system soon.
Q – Unidentified Analyst: And can you elaborate on DEXA in that -- I understand and a lot of people on this call may not understand, but when you have spinal surgery and you use a cage generally speaking, there are many devices used along with that surgery. So when it comes to Aurora marketing DEXA, how do you package up your other products, or how are you trying to promote your other products in that -- so it's not just a DEXA sale. You might sell a SiLO devices at the device. Are you offering a package price? Are you pushing those other products? What are you doing to try to capitalize and gain the most amount of revenues as possible.
A – Trent Northcutt: We've been positioning the DEXA Implant as a leap forward in cervical anterior cervical fusion device. So we've -- the two sites that we ran right now are actually -- we're getting a -- over one particular facility is over 6x above list price that we had listed before because they want to see if this is a better way for them to treat their cervical cases and these cases indeed have gone quite well. The second location had a premium of 100%, above what we normally sell our Interbody Device for. So that was a real encouraging sign. I do not think that's going to be something that lands everywhere. But I do like the fact that we can get a good price and we are packaging it with our Cervical Plate, which is the APOLLO Cervical Plate, which we put out a press release on that we got the 510(k) on that, which is replacing the third-party product that we had touched on last year and actually will not be touching on this. There's no -- not necessarily because we've evolved away from all the third-party products. So we use the DEXA cage, we have a national agreement with Aziyo Biologics, which is a publicly traded allograft and in a company that provides biologics to us, and they also are the makers of our SiLO implant. And then, of course, the DEXA implant. So it's all three of those products going in. So the plate, the cage, the biologic and we're getting a good premium price for that as we started the year off with it.
Unidentified Analyst: Nice. Nice. So it is -- that is a marketing tool, I guess, is what I'm trying to say is that don't just look at DEXA, look at the package because that's the push, I guess, out of Aurora to not just obtain on one sale, but to obtain two or three potentially, right? So…
Trent Northcutt: Well, I know -- and I'll add to that, and this is something I missed, and I should point out, is what's unique about the DEXA technology, we also entered into a co-marketing agreement with a company called Echolight, Echolight is a is an ultrasound bone density measuring device. The doctor can within a few minutes, just stand the patient and you either do it pre-ops in the patients clinic – in the doctor's clinic or they can actually do it right before the procedure and actually measure the patient's bone density, did a reading and know what density that patient's bone scores out in. And there's -- it's based upon the T-score of the bone density. And it's also a really simple color code. It’s green, it’s yellow, it’s red, green being healthy, yellow being the presence of Osteopenia and then red is in fact, the patient has osteoporosis. So then the doctor will say, well, what was the score within that, and it's a very small score, so from a plus four to a minus four, so each numeric value in between there. And then, of course, our cages, the DEXA-C cages, if you look on our website, you'll see they're color-coded. They're based upon a numeric value system that is close to the patient's T Store. So the doctor can pre-select, which implant they're going to put into the patient. This is the first time this has ever been available to doctors and to patients ever. So the patient has a better likelihood of having an implant is, better suited for their bone density versus a one-size-fits-all, which everyone else has and only Aurora has this proprietary product and approach to matching the patient's bone.
Unidentified Analyst: Yes. Amazing, amazing. On to the numbers, I'm curious as to the new breakeven, expenses did rise. We're told to keep an eye on $1 million to $1.1 million a month, is that's breakeven, of course, higher expenses, more doctors trained expenses are bound to rise. What is the new breakeven now? What should we be looking at? And is that number going to be stable going forward? Can we expect to see the same expenses with this training throughout the year, or will they increase even more?
Trent Northcutt: No. Some of the expenses came in on some of the biomechanical data that we needed to collect earlier, right into the end of the year and going into the beginning of the year for the SiLO-TFX, which is the new add-on to our SI joint system. And I know you didn't ask a question about the TFX that it was related to budget, so we did experience a little more training. We added some more biomechanical data that we needed to submit to the FDA so that increase in cost. One of the challenges of last year, as you can imagine, was getting specimens for biomechanic testing that were not affected by COVID, right? So you could use a specimen that had -- that was listed as having COVID. And we had to work a little bit harder on that to get some of this by mechanical data. We were able to collect that data, some expediting came in there, so some seasonal in up, but we do expect everything to balance out, settle down, if you will, and all the money was put towards R&D, training and building up inventories. We decided to build a couple more kits than we originally scheduled, and that was also part of the add-on costs.
Unidentified Analyst: I got you. So going forward, should we still look at $1 million to $1.1 million, or is it better to assume even $1.4 million, $1.5 million for breakeven? Just because doctor training is obviously -- there's going to be an increased cost. I know there's more sales that brought on as well during the end of 2021. Should we be adjusting that number ever so slightly just to have a realistic breakeven number?
Trent Northcutt: Yes, I would say right around $1.2 million would be fair because of that breakeven number, yes.
Unidentified Analyst: Okay. Perfect. You mentioned in your press release and you mentioned again about sequential growth for Q1 that you believe that Q1 will be sequentially better than Q4, sequentially better. Well, you grew 21% year-over-year. Would we see that kind of growth 21% or just better? Is that more of the terminology sequential just meaning, they will be higher than Q4, no expectations on how much?
Trent Northcutt: To understand the question, you're talking about where do we go up from Q4 into Q1, is that…
Unidentified Analyst: Yes, exactly. How do I read sequential?
Trent Northcutt: Yes. So the second half of the year, last year was great because, we felt like all the headwinds had really kind of started to dive down. We felt really good about Q3, but even better about Q4. And to answer your question this way, we really springboarded off of end of Q4, right into Q1. And I couldn't be more pleased than what we did in Q1. We really advanced it forward, and we hit the ground running even harder than we did start of last year. So really, really pleased with how the team executed, the clinical educator got in there, really got these meetings tightened up. So, I'm really encouraged about where we're going here in Q1, especially how we've already started Q2.
Unidentified Analyst: Perfect. Perfect. And could you give us any indication on how many new doctors we could -- we might see through Q1 that have increased. If we had 40 doctors last year, I've already seen doctors on LinkedIn that have claimed that they're now selling our products. So I know in the last month alone, it's at least four or more. If you're training 100 doctors a quarter, potentially, we could see 20, right? So, is it -- are we on the right path, I guess, of gaining 20 doctors per 100. Has Q1 -- has that shown you those results?
Trent Northcutt: I can jump in there. So just generic, Q1, we had 60 different doctors use our devices, so…
Unidentified Analyst: Yes. So that's right on target.
Trent Northcutt: Yes.
Unidentified Analyst: That's exactly on target. Those are exactly the numbers I was looking for. That's perfect.
Chad Clouse: And I can also -- the other thing for everyone to keep an eye on is, the second -- obviously, we're not -- I don't have a cut the ball in front of me, but we are pending FDA approval with the TFX. The TFX – the training of that device is already has a plan and a strategy to fit right on into our current educational training program that's in place throughout the year. So the second it gets a 510(k) approval and instrument sets come-off the machining, we implement those right into the training program. So we think that we can hit revenue numbers that are not -- we're in the budget for this year, but we think that it could really accelerate revenues. So even a larger growth beyond 20%.
Unidentified Analyst: Beautiful. Now will – does the SiLO -- current SiLO just drop off, you just will no longer sell or will you have both?
Trent Northcutt: We will maintain both.
Unidentified Analyst: Okay, okay. Very cool. As for newer products new additions, DEXA is a series of platform of products? Are there – is there anything else that we can expect to see that will either be announced to be carried at some point in the future or maybe something that you'll look at acquiring, I don't know?
Trent Northcutt: I would say that there's -- you're spot on with the platform. The platform is going to -- you'll see some expansion in the platform, in DEXA technology, there's no doubt we're going -- go from cervical to lumbar with the DEXA technology. And then we're also looking into DEXA and how that might work out in the SI joint space as well. So, we'd be very unique and novel to have us cover those three major areas for us, especially if we're doing well in performance. They have the only bone matched patient implant in the world for all three sectors of the patient's fusion areas.
Unidentified Analyst: Okay. As for licensing out DEXA, is that something that is discussions that are carried on within…
Trent Northcutt: We had nine surgeons in the roundtable this weekend. And yes, we're discussing with them and branching out to discuss with people who are in the dental implant and the total hip, total knee market, since those are markets that we have no plans in exploring. And we think, I think the key on that is, this roundtable was discussed the cervical multicenter study that we -- so now we would be able to show some clinical data that support our claims based upon the patent and then this would be something that we could give to those - in getting those other type of companies that are making products that have to affect and interact with the bone that this might be a technology they want to license. And we also had Watershed, which is our 3D printing manufacturing company that is walking steps from our office. They were there presenting the technology. And they told me just as a sidebar here, they got factor a couple of press releases on the DEXA, they started getting phone calls from some of the vendors saying, hey, how do we get the DEXA technology added to implants. And of course, they said, well you can’t, its proprietary. You need to get a hold of Aurora. So that was interesting here and exciting. I mean yes, we will. We see an opportunity to license out the technology, if we will.
Unidentified Analyst: Beautiful. Well, I've exhausted my questions guys, and I don't want to hog the call. So I'll leave it for others. But thank you very, very much for your time and congratulations on a great quarter.
Trent Northcutt: Thank you. 
Operator: Thank you.  It appears there are no further questions. This concludes our question-and-answer session. I'd like to turn the conference back over to Trent Northcutt for any closing remarks.
Trent Northcutt: Well, thank you again for your time and interest in Aurora Spine. We're very excited about what's going on here beyond 2022 -- this year and beyond 2022. We look forward to speaking to many of you in the weeks ahead. Feel free, if you have any questions to reach out to Adam Lowensteiner at Lytham Partners, and he'd be happy to schedule a follow-up call with you. Really pleased with the results and the team, so if you have any questions, please get a hold of us, and we look forward to chatting with you. Have a great rest of your day.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.